Operator: Greetings, and welcome to the Oxford Industries, Inc. first Quarter Fiscal 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance, please press 0 on your telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brian Smith. Please go ahead. Thank you, and good afternoon.
Brian Smith: Before we begin, I would like to remind participants that certain statements made on today's call and in the Q&A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees; actual results may differ materially from those expressed or implied in the forward-looking statements. Important factors that could cause actual results of operations or financial condition to differ are discussed in our press release issued earlier today. Documents filed by us with the SEC, including the risk factors contained in our Form 10-Ks. We undertake no duty to update any forward-looking statements. During this call, we will be discussing certain non-GAAP financial measures. You can find a reconciliation of non-GAAP to GAAP financial measures in our press release issued earlier today, which is posted under the Investor Relations tab of our website at oxfordinc.com. I'd now like to introduce today's call participants. With me today are Tom Chubb, Chairman and CEO, and Scott Grassmeyer, CFO and COO. Thank you for your attention. And now I'd like to turn the call over to Tom Chubb.
Tom Chubb: Good afternoon, and thank you for joining us. We are pleased to be reporting results for the first quarter of fiscal 2025 that were solidly within our forecast range in the midst of very challenging and unpredictable market conditions. The so-called hard data indicates that the consumer still has the ability to spend money. However, the soft data, particularly consumer sentiment surveys, as well as reports on discretionary spending, indicate a consumer that is much more cautious when it comes to spending on discretionary items, which includes fundamentally everything we sell. Our own experience during the quarter was similar to what we've seen over the last several quarters, and that is that the consumer responds most strongly to new, innovative, and differentiated products and to promotions where the perceived value is high. Complicating this situation is the rapidly evolving US international trade policy, particularly with regard to tariffs. Tariff policy is challenging us in several ways. Consumer concern about the impact of tariffs on prices and the economy is exacerbating weak consumer sentiment. The rapid evolution of the tariff policy is making it exceptionally difficult to plan and forecast the business. And finally, the tariff policy is requiring us to significantly realign our supply chain, which could prove to be the catalyst for implementing some changes in our sourcing strategies that ultimately benefit our company and shareholders but certainly present short-term challenges and financial ramifications. During challenging market conditions, like those that we are currently encountering, it is imperative that we not lose sight of the fact that our reason for being is to evoke happiness in our customers. All seven of the brands in our portfolio are what we call happy brands, and our customers look to them for the spirit of optimism and possibility that they exude. We deliver this happiness through our brand positioning, our products, our marketing messages and imagery, and the experiences we provide in our stores, restaurants, and bars, and our resort hotel, as well as on our e-commerce websites. Staying focused on bringing happiness to our customers helps mitigate the impact of challenging marketing conditions and ensures that as those conditions abate, we will emerge even stronger than when we went into the challenging time. The pandemic provided great reinforcement of that idea. It would have been very easy to flip into a darker, more pessimistic mode with our brand messaging during the lockdowns, but we refused to do that, and we emerged on the other side even stronger than ever. Likewise, we are staying focused on happiness now. During the first quarter of fiscal 2025, the continued focus on happiness paid off with fantastic results in our Lilly Pulitzer brand, given the environment. As the result of Lilly's focus on delighting our most dedicated and highest spending consumers, we were able to post double-digit growth with positive comps in both e-commerce and retail, as well as meaningful growth in our average order size and improved profitability. Some of the highlights of the quarter in Lilly included our beautiful print, which had an excellent balance this season between tonal and multicolor, as well as between bright colors and soft colors. We also had big success with sportswear items like the Ronson tub, a simple tee, made special with gold buttons and puffy sleeves. The reintroduction of Lilly men's after more than a decade, as well as our collaboration with the Normandy-based French brand Saint James, were, by design, not huge volume drivers, but sold through at very high rates, and created lots of buzz and excitement. Our newness quotient was excellent at more than 50% this spring as compared to approximately 40% last year. On the marketing front, we continued to ride the wave of excitement created by our Palm Beach fashion show last fall, which featured spring 2025 product. In our Tommy Bahama business, we continued our efforts to deliver happiness to a growing audience with the opening of two new Marlin bars. The two new locations at the King of Prussia Mall on the Mainline in Pennsylvania and at South Park Mall in Charlotte, North Carolina, are both in more temperate climates than our typical warm weather locations. And both are located at large regional malls, which is also different than where we have typically located Marlin bars. Prior to building Marlin bars in these locations, we had Tommy Bahama stores in both Charlotte and King Of Prussia. As we have seen with past Marlin Bar conversions, we expect to see a meaningful uplift in our retail business in those locations, as well as the opportunity to provide an immersive Tommy Bahama brand experience on the bar and restaurant side. Nothing creates passion for the Tommy Bahama brand like a nice dinner and a beverage or two with family and friends at one of our Marlin bars. South Park Mall and King of Prussia Mall are two of the best in the country, and we are excited to see what we can deliver there. While we are remaining focused on our long-term evergreen objective of delighting the consumer with our happy brands, we are also working hard to respond to more immediate challenges. At the top of the list is the rapidly evolving change in US trade policy, particularly tariffs. Beginning more than fifty years ago, when as an enterprise, we branched into international product sourcing, our objective has always been to have a resilient supply chain that can respond to the changing needs of both the marketplace as well as to significant changes in US trade policy. And through the years, there have been many significant changes to trade policy, including NAFTA, various other free trade agreements, China's accession to the WTO in 2005, and others. And each time, our supply chain has quickly and successfully adapted to the new policy. The only difference this time is that the policy change has come with less notice and more fluidity than with past changes. Nevertheless, our ability to adapt is unchanged, and we are doing exactly that. We are making excellent progress on our goal of diversifying our supply chain, particularly away from China, and currently expect to exceed the milestones that we laid out in April. By the second half of 2026, we currently plan to be substantially out of China. Tariffs are one of many input costs that we take into account as we work through the complicated process of establishing prices and initial gross margins for a particular season. As we go through this process for future seasons, we are, of course, taking into account what we currently know about tariffs. There is still much work to be done, but we are pleased with the progress. As an example, in our largest business, Tommy Bahama, for spring 2026, taking into account the currently effective elevated tariff rates, we are projecting that our AUR will increase by less than 3%, fully recovering gross margin dollars, while our initial gross margin percent would decrease by less than 50 basis points. In subsequent seasons, we expect to be able to work initial gross margin percentages back up without any dramatic changes in pricing. While the tariffs are and will certainly create some turbulence in our results this year, we do not see them as a long-term threat to our competitiveness or our ability to deliver long-term value to our shareholders. Another more immediate challenge we are hard at work on is improving the profitability of our Johnny Was business. Johnny Was is an incredible brand with absolutely beautiful product, loyal and engaged customers, and an incredibly dedicated, hardworking, and professional team. We believe Johnny Was also has an opportunity to improve its profitability to a level similar to what we are accustomed to in Lilly Pulitzer and Tommy Bahama. After a period of very rapid growth, including rapid expansion of its retail store footprint, over the last six or seven years, some of which was before we bought the brand, we are shifting our focus to increasing profitability and reinforcing the fundamentals. This includes brand creative, merchandising assortment, and planning, marketing efficiency, and retail execution. We have been working diligently on this project over the last several months and have brought in additional talent and external resources to help. We look forward to reporting to you on the plan and the progress in the coming quarters. Progress on our new state-of-the-art fulfillment center in South Georgia is on track, and we expect to be complete at the end of the fiscal year. Once complete, we believe the new SC will be a competitive advantage for our most commercially important region, the Southeastern United States, especially Florida. Without a doubt, we are operating in very difficult circumstances but are responding to the current challenges well, while never losing sight of the long-term goals and objectives. We are grateful to all of our team members for all that they do on behalf of our customers and our shareholders. I'll now turn the call over to Scott for more detail on our first quarter results as well as our expectations for the balance of the year.
Scott Grassmeyer: Thank you, Tom. As Tom mentioned, our teams face unprecedented uncertainty and challenges related to the rapidly developing tariff and trade environment during the first quarter. Despite these substantial challenges, our team focused on what they could control and delivered top and bottom line results within our previously issued guidance ranges. The first quarter of fiscal 2025, consolidated net sales were $393 million compared to sales of $398 million in the first quarter of 2024 and towards the high end of our guidance range of $375 million to $395 million. Sales in our brick and mortar locations were down 1% driven by a negative comp of 5%, partially offset by the addition of new store locations. Ecommerce sales decreased 5%. Sales in our food and beverage locations were down 3%, while sales in our outlet locations were comparable year over year. Sales in our wholesale channel increased 4% compared to the first quarter of 2024, with increased sales to major department stores and off-price retailers. By segment, lower sales at Tommy Bahama and Johnny Was were partially offset by a low double-digit sales increase at Lilly Pulitzer. At Salsa Cef, with its strategy to focus on product that resonates strongly with its core customer, and an increase in emerging brands driven by promising rollout of new retail locations. Adjusted gross margin contracted 110 basis points to 64.3%, driven primarily by increased freight expenses to e-commerce customers at Tommy Bahama, increased markdowns during clearance events at Lilly Pulitzer and Johnny Was, and a change in sales mix with wholesale sales, including all price wholesale sales, representing a higher proportion of net sales. We also incurred a million dollars of additional charges or an approximate 20 basis point negative impact to consolidate gross margin or $0.04 per share in cost of goods sold resulting from the US tariffs on imported goods implemented in the first quarter of fiscal 2025. Adjusted SG&A expenses increased 5% to $221 million compared to $210 million last year, with approximately $6 million or 59% of the increase due to increases in employment cost, occupancy cost, and depreciation expense due to the opening of 31 new brick and mortar retail locations, including four new Tommy Bahama Marlin bars, since the first quarter of fiscal 2024. This includes the eight new net new stores, including two Tommy Bahama Marlin bars opened in the first quarter of fiscal 2025. We also incurred preopening expenses related to some of the approximate seven net new stores planned to open during the remainder of fiscal 2025, including an additional Tommy Bahama Marlin Bar. Result of this yielded a $39 million adjusted operating profit or a 9.8% operating margin compared to $57 million operating profit or a 14.4% margin in the prior year. The decrease in adjusted operating income reflects the impact of our investments in a challenging consumer and macro environment. Moving beyond operating income, our adjusted effective tax rate of 24.2% was impacted by certain discrete items, most notably from the receipt of interest related to a US Federal income tax receivable. Interest expense was a million dollars higher compared to the first quarter of fiscal 2024 resulting from higher average debt levels. With all this, we ended with $1.82 of adjusted net earnings per share. I'll now move on to our balance sheet. Beginning with inventory. During the first quarter of fiscal 2025, inventory increased $18 million or 12% on a LIFO basis and $20 million or 9% on a FIFO basis with inventory increasing in all of our operating groups except Johnny Was. Primarily due to the impacts associated with the US tariffs that were implemented in the first quarter of fiscal 2025, including accelerated purchases of inventory before the anticipated implementation of the increased tariffs, and increased cost capitalized into inventory after the implementation of the tariffs. At the end of the first quarter of 2025, our inventory balances included an additional $3 million of cost associated with the increased tariffs implemented in the first quarter of fiscal 2025. We ended the quarter with long-term debt of $118 million. We used $4 million in cash flows from operation in the first quarter of fiscal 2025, driven primarily by lower net earnings, changes in working capital needs, including accelerating inventory purchases, and $12 million of expenditures related to implementation costs associated with computing arrangements that are classified as operating cash outflows. We also had $51 million of share repurchases, capital expenditures of $23 million, primarily related to the Lyons Georgia distribution center project, and the addition of new brick and mortar locations, and $10 million of dividends that led to an increase in our long-term debt balance. I'm gonna spend some time on our updated outlook for 2025. We finished the first quarter of fiscal 2025 with a negative comp of 5%, which was slightly lower than our previous forecast of negative 2% to 4% comps. Comp sales figures in the second quarter to date are negative similar to the first quarter, which is a trend we expect to continue for the remainder of the quarter. While we believe the negative comp trend will moderate slightly as we enter the second half of fiscal 2025 and lap easier comparisons due in part to the negative effects of two hurricanes that Southeastern United States in the third quarter of fiscal 2024. Our forecast includes net comp negative comps in the low single-digit range for the remainder of the year. For the full year, we now expect net sales to be between $1.475 billion and $1.515 billion, reflecting a decline of 3% to just slightly negative compared to sales of $1.52 billion in fiscal 2024. Our updated sales plan for the full year of 2025 now includes a total company comp sales decline in the low to mid single-digit range, decreases in our Tommy Bahama and Johnny Was segment was driven by negative comps partially offset by new store locations. Decline is expected to be tempered by growth in our Lilly Pulitzer and emerging brand segments driven by positive comps in new store locations. By distribution channel, the sales plan consists of a low single-digit decrease in e-commerce and wholesale sales partially offset by a flat to low single increase in both full-price retail and outlet sales. Expect the full-price retail and outlet channels will benefit from the addition of approximately 15 net new locations during the year, partially offset by negative comp sales. Also expect low to mid single-digit increase in our food and beverage channel, that will benefit from the addition of three new Marlin Bar locations during the year. Our updated guidance also reflects the most recent tariff developments. When we last issued guidance in March, additional tariffs placed on Chinese imports 20%, and reciprocal tariffs on countries other than China had not yet been announced. Tariffs placed on imports from countries around the world have also fluctuated significantly since March, including pauses and delays in tariffs and additional tariffs placed on Chinese imports that reached as high as 145%. Our current forecast includes the assumption that the current implemented additional 30% tariff placed on Chinese imports and 10% on all other countries will remain in place for the remainder of fiscal 2025. Based on these updated assumptions, we now expect that gross margin will contract approximately 200 basis points for the year. This contraction includes $40 million in additional tariff cost, or $2 per share after tax, which is an increase from the $9-10 million included in our March forecast. We're working hard at mitigating the gross margin dollar impact of tariffs and expect to be fully mitigated by spring of 2026. Plan mitigation efforts to move sourcing from China to countries with lower tariffs rates, including our effort to reduce sourcing from China from approximately 40% in 2024 to approximately 30% for 2025, and our expectation of increased activity during promotional events across our brands as a challenging macroeconomic environment will lead to consumers looking for deals and promotions. In addition to lower sales and gross margin, we expect SG&A to grow in the mid single-digit rate, range at a rate higher than sales in 2025, primarily due to continued investments in our business, including the annualization of incremental SG&A from the 30 net new locations added during fiscal 2024. Incremental SG&A related to the addition of approximately 15 new locations, including three new Tommy Bahama Marlin bars, including the two that opened in the first quarter and a planned to open on the Big Island Of Hawaii late this year. And an increase in adjusted depreciation and amortization from $57 million in fiscal 2024 to $59 million fiscal 2025, which excludes $11 million in amortization of acquired intangibles in fiscal 2024 and $8 million in fiscal 2025. Also, with an operating income, we expect lower royalties and other income of approximately a million dollars in fiscal 2025. Additionally, our fiscal 2025 guidance includes the unfavorable impact of non-operating items, including $5 million of higher interest expense compared to $2 million in 2024, an approximate 20 to 25¢ EPS impact. The increased debt levels in fiscal 2025 are due to our continued capital expenditures on the Lyons Georgia distribution center, technology investments, and return of capital to shareholders exceeding cash flow from operations. We also expect a higher adjusted effective tax rate approximately 26% compared to 20.9% in 2024, which benefited from certain favorable items primarily related to interest income and tax receivables that are not expected to reoccur in 2025. The higher tax rate will result in an approximate 20 to 25¢ per share impact. Considering all these items, including the $2 impact from tariffs, higher interest expense, and a higher tax rate, we spent 2025 adjusted EPS to be between $2.80 and $3.20 versus adjusted EPS of $6.68 last year. In the second quarter of 2025, we had expect sales of $395 million to $415 million compared to sales of $420 million in the second quarter of 2024. This reflects our low to mid single-digit negative comp assumption partially offset by the addition of non-comp stores and relatively flat wholesale sales. We also expect gross margin to contract by approximately 250 basis points, which includes our updated tariff assumption of $15 million in additional tariff costs, 75¢ per share after tax. SG&A to grow in the mid single-digit range, primarily related to the new store locations, increased interest expense of $2 million, flat royalty and other income, and a higher effective tax rate of approximately 31% from net discrete tax expense for stock-based compensation. We have spent this to result in second quarter adjusted EPS of between $1.05 and $1.25 compared to $2.77 in the second quarter of 2024. Or now like to discuss our CapEx outlook for the remainder of the year. Maturely consistent with our prior guidance, we expect capital expenditures to be approximately $120 million, including the $23 million incurred during the first quarter, compared to $134 million in fiscal 2024. Approximately $70 million related to finishing the project to build the new distribution center in Lyons, Georgia. Remaining capital expenditures relate to the execution of on our pipeline of new stores in Tommy Bahama Marlin bars, including increases in store count across Tommy Bahama, Lilly Pulitzer, Southern Tide, and the Buford Bonnet Company. We spent this elevated capital expenditure level to moderate in 2020 and beyond after the completion of the Lyons Georgia project. We expect cash flows from operations to be strong as we head into our busiest time of the year, allowing us to fund the previously mentioned investments, our quarterly dividend, and reduce our outstanding borrowings. Although we do expect to be in a debt position for the remainder of the year due to our first quarter share repurchase, dividend payments, and anticipated capital expenditures. Thank you for your time today. We will now turn the call over for questions. Joe?
Operator: Thank you, sir. Ladies and gentlemen, if you would like to ask a question, please press 1 on your telephone keypad, and a confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. Participants using speaker equipment, and our question comes from the line of Ashley Owens with KeyBanc Capital Markets. Please proceed.
Ashley Owens: Hi. Good afternoon. Thanks for taking our questions. So to see the strong response in Lilly in the quarter. Know you elaborated on some of the strengths you saw there. What learnings have emerged from the strengths? Is the key there to drive a broad range of colorways in the newness that you're offering and just any levers you could talk to that are in place to sustain that momentum through the balance of Bigger? Thank you.
Tom Chubb: I think the key, Ashley, really, and thank you for the question, is focusing on those most committed customers, which is sort of the top 20% of the customer base, they account for more than 60% of the sales and even more of that when you look at profitability. And really focusing in on what they love about Lilly and delivering it to them in a way that's both consistent with the DNA of the brand, which we're, in my opinion, very much doing right now, while at the same time being relevant to the current customer and marketplace. And I just think the Lilly team's done an extraordinary job of it. Ashley, you know this because you pay a lot of attention, and that really started at the beginning of last year as we celebrated the sixty-fifth anniversary, and we did some special capsules and a lot of marketing things in it. It kinda built up through the year, and it really paying off for us now. So I would say going forward, that really is the key is you know, focusing on that core customer staying true to our DNA, but at the same time staying relevant to what's going on today.
Ashley Owens: Okay. Great. And then just a follow-up. I know you discussed some of the puts and takes around margin and pricing increases at Tommy Bahama going into spring 2026. Just could you elaborate on some of your pricing plans for the other brands that you have identified? If any. Just curious as you navigate some of these margin headwinds with promotional spending and then additionally now with the tariffs, how you're balancing the potential need to stay promotional with some potential price increases to offset some of these higher costs.
Tom Chubb: Yeah. Well, a great question. And I think we threw the Tommy Bahama example out there where our plan for spring 2026 has our AUR going up by less than 3%. And then at that level, we get back all the gross profit dollars, the gross margin, the initial margin, will go down by less than 50 basis points. Now the other part of your question is you know, are we gonna experience margin dilution because of promotional activity? And I'd you know, for 2026, it's just way too early for us to you know, to really predict that. I think. Because Scott pointed out for the balance of this year, we have baked in some additional promotion. Not really more promotions, just the expectation that more business will be done during those promotional times. But for '26, all we're really all we as far as we've gotten really is the initial margins. Scott, I know if have anything. Yeah. And for, you know, for '25, you know, spring, summer, our biggest seasons and there's really you know, there's not much adjustment we could do there. And, you know, so we are starting to see some modest price increases for fall and then spring is where we really, fully mitigate.
Ashley Owens: Okay. That's super helpful color. Thank you, and I'll pass it along. But best of luck.
Tom Chubb: Thank you, Ashley.
Operator: The next question comes from the line of Joseph Civello with Truist Securities. Please proceed.
Joseph Civello: Guys. Thanks so much for taking my question. I wanted to check-in and see about the wholesale I think you said 4% growth. Just talk about how that compared to your expectations and, you know, conversations with retailers as we get to the back half of the year.
Tom Chubb: Well, I'll let Scott comment a little bit further on our expectations, but we were pleased to see that growth in the wholesale, and I would say that our performance at wholesale has been quite good, which we always like to see that. So I think we've talked about that in the past, but you know, on the on the floor of one of our big department store customers, we're going head to head with some other great brands. In a tough environment like we've got right now to see that we're actually performing quite well in that head to head competition is pretty reassuring. To see that. It shows the strength of our brands and our products. And then in terms of how you would evaluate that relative our expectations. I think wholesale is pretty much tracking to to our expectations. We are you know, we we knew we had a little bit of spring order book, and we're expecting the half of year to be down a little bit as a lot accounts have gotten, more conservative. So so now for the full year, slightly down, but, you know, slightly up from Q1. And, you know, the specialty stores have certainly been weaker than the department store. So that specialty store channel is still pretty challenged.
Joseph Civello: Got it. Thanks so much.
Scott Grassmeyer: Thank you, Joe.
Operator: The next question comes from the line of Janine Stitcher with BTIG. Please proceed.
Ethan Saghi: Hey. You've got, Ethan on for Janine. Thanks for taking my questions. So to start, great to hear that the newness is really resonating at Lilly. Just wondering if you could give some color on the newness in the assortment at Tommy and how that's resonating. And then my question, just digging in on Johnny Was kinda what drove that, mid-teens decline in Q1 and just what gives you confidence in the guide, for the brand for the rest of the year? Thanks.
Tom Chubb: Okay. So with regard to Lilly, you know, the newness, as I've commented on, has certainly been a big part of the success and our sort of newness quotient was higher this year. We were a little over 50% this year versus I think, about 40 last year. So we were pleased to see that. A lot of it was in sportswear items like the top that I highlighted. And that's great to see. We've traditionally been very, very strong in dresses, but good to see the strength in sportswear as well. And then as I mentioned, we think a lot of it we thought our print assortment this spring was really quite strong and very well balanced and gave a lot of customers great options in terms of whether they wanted to you know, go multicolor, more tone on tone, or bright or soft. They just had good options. And then in Tommy, I would say newness is working also. I mean, we're seeing that everywhere. It's, you know, it's sort of as I said, it's you know, it's things that are new and exciting and different. Or other than that, they're sort of looking for what they perceive as being high-value situations. And as Scott talked about, that means we end up doing a little bit more business proportionately during our promotional periods. And then in terms of Johnny Was guide, going forward, I think we're not projecting a big rebound there from what their current performance is. While we would love to see that, we're doing a lot of things to try to make that happen. As I talked about, the plan that we're working on is Johnny Was, for the most part, that would probably impact '26 and beyond more than it would '25. So what we've got in the guidance model does not really assume a big rebound in Johnny Was in the next quarter or two. Scott, don't know if you'd have. Yeah. No. That's accurate. Yep.
Ethan Saghi: Great. Thanks. I'll pass it on.
Tom Chubb: Thank you, Ethan.
Operator: The next question comes from the line of Mauricio Serna with UBS. Please proceed.
Mauricio Serna: Great. Good afternoon. Thanks for taking my question. Just wanted to dig in into the tariff impact that you provided in your outlook. It seems you know, it's much higher than what you talked about before, but even I guess as I look at the current tariffs, you know, it still seems high. Maybe could you talk about what is the gross impact that you're considering? You know, like, I guess I because I suppose the $40 million is, like, the net impact. And if you all have been facing any like, how are you thinking about the mitigation strategies beginning to, you know, materialize in your operations over the next couple of quarters? Thank you.
Scott Grassmeyer: Yes. Mauricio, the $40 million is the gross. Before, we were at nine to 10 gross. You know, so the increase. And before, just as a reminder, the only enacted tariff at the time was the China 20%. There were no additional tariffs on the other countries at the time of that gun. So now we've gone from 10% everywhere and China going from 20 to 30, is the change. So that's what caused the nine to 10 to go up to 40. We are working on mitigation actions. But again, as I mentioned earlier, spring, summer are our biggest seasons. There's really nothing we could do about that. Some of the later fall deliveries, there is some you know, select increases. And then when we get into spring, again, we should we expect to be fully mitigated. So, you know, it'll hit us hard in '25. But, as a reminder, you know, we left last year 40% China, this year, we will average 30%, but we'll leave the year lower. And then next year, we expect to be below 10% China. So our China percentage is continuing to come down. But we obviously couldn't affect spring summer and really couldn't affect early fall or really fall much on shifts, but for resort and some spring of next year, we have some major moves coming.
Mauricio Serna: Understood. Thank you.
Scott Grassmeyer: Mhmm. Thank you, Mauricio.
Operator: Ladies and gentlemen, again, if you would like to ask a question, please press 1 or your telephone keypad. And the next question comes from the line of Paul Lejuez with Citi. Please proceed.
Tracy Kogan: Thank you. It's Tracy Kogan filling in for Paul. I had a couple questions. I was wondering I know you said comps were down about 5% for the quarter as a whole. I was wondering how that trended in February versus March and April combined. And then I was curious what you're seeing in the restaurant business in terms of traffic and ticket. I saw that business was down, but just wondering what the drivers were there. Thanks.
Tom Chubb: So in response to the part of your question, Tracy, April was definitely the strongest month for us, and that was true, I believe, in both retail and e-com. Part of that, undoubtedly, was the Easter shift, so we would have expected and did expect to have a pretty good performance in April, and that turned out to be accurate. And then in terms of restaurants, the overall was down 3%, but comp was actually only down 1%. So pretty close to flat last year. I don't know if we've got the traffic numbers for restaurants or well, they've got that our kids right now. Yeah. I think in general, Tracy, the ticket sizes have been ticking up a little bit. And that's due to some of the item prices going up. And, Tracy, this year, you remember our Sarasota restaurant is still not open. We're moving locations, so that's where we had it last year during busy season. We did not have year, but it should open, I believe, late this summer. And that's why the comp Yeah. Because connects. Exactly. So the comp was really, you know, we were close to flat, which you know, was certainly better than what we saw in our retail stores.
Tracy Kogan: Got it. Thank you. And just back to the question. What was do you look at Marpril, March, and April combined? I'm just wondering how that period compared to February. Like, did your business pick up?
Tom Chubb: Yes. It did. It definitely did. I mean, basically, the improvement was sequential through the quarter. And, you know, April was the best. March was better. February was the worst.
Tracy Kogan: Got it. Thanks very much, guys.
Tom Chubb: Yeah. Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back to Tom Chubb for closing remarks.
Tom Chubb: Okay. Thank you, Joe, and thanks to all of you for your interest. We look forward to talking to you again in September. And hope all of you have a great summer.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.